Matthew Moulding: Good morning, everyone, and thank you for joining us for THG's half year results presentation. As I said in the statement this morning, trading momentum continues to build positively with the strategic changes implemented last year across both THG Beauty and THG Nutrition now bearing results. H1 was a performance of 2 halves. We entered the year following a period of focused execution, implementing significant strategic initiatives and model changes across the group, including the completion of the demerger of our Tech and Robotics division, Ingenuity. In THG Beauty, we disposed of some of our smaller operations, commenced the cycle of investment in our portfolio of own brands and took the decision to prioritize retail trading in the U.K. and the U.S. In THG Nutrition, the Myprotein global rebrand was a major talking point last year, and it's been important to gauge sentiment from existing D2C customers, new consumers and our developing network of retail and license partners. It's clear the positive reaction to the new positioning of Myprotein is starting to speak for itself with accelerating sales growth and a rapid rollout across offline retail. In a dynamic consumer environment, our results demonstrate the resilience of our digital-first model. And as we move through Q3, I'm pleased to say the group is delivering positive growth across both our businesses. Three key achievements from H1 stand out. First is the successful return to growth for our THG Nutrition division, which delivered 3% revenue growth, driven by a return to growth in new customers as well as significant expansion of our off-line retail offering across Europe, the U.S. and Asia. Secondly, in THG Beauty, we delivered a resilient trading performance despite a slower start to the year. While strategic changes impacted the headline number in the second quarter, we saw our U.K. Beauty retail business grow at its fastest rate since Q1 2024, proving the strength of our market-leading platforms and active database quality. And finally, we've strengthened and de-geared our balance sheet by extending facilities to December 2029 and reducing gross debt by GBP 374 million. Alongside the refinance, following an unsolicited approach in half 2 2024, the group sold Claremont Ingredients, a small manufacturing business within THG Nutrition. The proceeds have been received, which accelerates our plans to move the group towards a net cash position. Claremont is the U.K.'s leading independent flavor manufacturing lab for sports nutrition and was acquired in late 2020 for GBP 52 million to accelerate Myprotein's product development and global licensing ambitions. The disposal for over GBP 100 million marks a significant return on that investment with Myprotein supply chain protected through a long-term supply contract, ensuring we continue to benefit from Claremont's capabilities while also gaining access to the broader international expertise of the Nactarome Group. These actions, combined with remaining focused on cost-saving initiatives have laid a strong foundation for the second half of the year and beyond. Okay. So let's turn to the headline financial performance for half 1. Group revenue was GBP 783 million, which was 2.6% down on the prior year, reflecting the significant strategic actions we've taken, particularly within THG Beauty. The majority of Beauty's H1 revenue decline can be attributed directly to the planned discontinuation of certain operations and disposals as well as the effect of withdrawing from certain sales activity in Europe and Asia. Encouragingly, Beauty is back in growth in Q3 as expected, reflecting the benefits made from last year's model changes. THG Nutrition's return to growth in both Q1 and Q2 reflected the positive response to the global rebrand, helping to drive new customer growth as well as a rapid rollout of our offline model. As previously announced, group adjusted EBITDA for the period was GBP 24 million at an EBITDA margin of around 3.1%. Despite strong sales growth, continued high input costs in Nutrition weighed on margin performance for the business during H1. Myprotein has a much shorter supply chain than peers, and so sharp movements in commodities are felt sooner. The wider market has now caught up, allowing Myprotein's vertically integrated D2C model to return to strength with both sales and margins now returning to growth. Beauty Retail, the largest part of our Beauty division, performed well in Half 1, especially in Q2, supported by a strong and resilient U.K. beauty market. In our Beauty Own Brands division, the timing of large orders into major customers has fallen later this year, which impacted profitability of our Perricone MD brand during Half 1. An improved order pipeline is in place across our key beauty brands for H2, including for Perricone. Turning to our balance sheet and cash flow. Our financial health remains robust with cash and available facilities of around GBP 270 million at Half 1, which is prior to the Claremont disposal proceeds and prior to our seasonally strong cash generative period for the year. We maintained strong capital discipline with capital expenditure materially reduced, helped by the demerger of Ingenuity. Looking at our businesses in more detail. THG Beauty revenue stood at GBP 480 million with U.K. performance a real highlight, gaining market share in the second quarter. This is reflected in our brand health metrics with prompted awareness for Lookfantastic reaching its highest level in Q2 this year. We've launched over 70 major new brands on site and refined our product listings to keep our proposition fresh. The underlying health of our Beauty customer base is strong, and our loyalty programs continue to grow, now reaching well over 3 million members. These customers purchase more frequently and have a higher spend per account. Revenue from returning customers has increased, reflecting the success of these loyalty programs. Average order values and conversion rates via our apps continue to grow as well, and there remains a significant opportunity to enhance app functionality to deliver an even more personalized experience for our customers. In THG Nutrition, we returned to growth, delivering revenue of GBP 304 million for the half. D2C new customer growth returned in the first half, reflecting a shift in marketing investment to open funnel campaigns to build brand equity following the rebrand. Our offline retail expansion across all key geographies, including the rollout of Myprotein products in U.S. Walmart stores also supported both revenue growth and brand awareness. Product innovation remains a core strength where we've successfully launched over 200 products across 4 very different categories. These launches use multi-touch campaigns that help expand our category-leading ranges and meet changing consumer preferences. Our nutrition customer metrics tell a positive story. Myprotein is clearly the U.K.'s most preferred sports nutrition brand, leading the category in brand consideration. Our offline performance has been exceptional with more customers purchasing the Myprotein brand than ever as our offline channels rapidly expand. We now sell over 750 different product lines across 5 distinct categories through the offline retail channel, and our products are already available in over 34,000 doors globally. Now let's look ahead. The second half of the year has started well, and we are now entering the key trading weeks of the second half with THG Beauty back in growth, helped by strengthening home market demand. The launch of our advent calendars has been the strongest in our history, and we expect gross profit margins to remain at our medium-term target levels, supported by improving performance from our own brands. To prioritize long-term market share gains and customer loyalty, Myprotein will limit price increases, underpinning further acceleration of its installed base in global offline retail as well as supporting D2C new customer growth. We are confident in this strategy to protect long-term market share and loyalty. Our guidance for the full year 2025 remains unchanged, while our performance and strategic actions give us confidence in our medium-term targets. So in summary, THG has delivered a resilient first half performance, underpinned by a pleasing Q2 performance. Both businesses are now back in growth as we enter the key trading period of the year, and we've opted to deleverage the balance sheet with cash from a strategic high-return disposal. Thank you again for joining us this morning, and we will now open the floor for questions.
Operator: [Operator Instructions] First, we have Patrick Folan from Barclays.
Patrick Folan: Just a couple for me. How should we think about the Nutrition margin going forward as you find the balance between margin improvement and top line growth while whey prices hang in the balance? Then secondly, looks like we're in a time period where protein is the most invogue category in the consumer world. Can you maybe share with us any expectations you have on your Walmart launch? And if there's anything else you are excited about within your portfolio, especially considering the second half top line guide for Nutrition? And if I can squeeze one more in. Can you update us on the U.K. VAT situation regarding protein powders?
Matthew Moulding: Okay. Look, so 3 questions there. The guys will prompt me on what they were, Patrick. But the first one was around the margins. How should we look at that given whey pricing remains elevated at record highs. I mean, look, stability is always a good thing for our business model. So what's the problem for us is when you get sharp movements. Obviously, sharp movements down in pricing are attractive because we will see the benefit of that quicker than anybody else and sharp movements up, we'll see the adverse impacts of that quicker than anybody else. And that's all driven by our supply chain. We're a vertically integrated D2C business with a short supply chain. So on average, we're probably carrying no more than -- when we get the raw materials into our warehouse, that's probably starting to be in the customers' hands within 9 weeks, whereas for offline channels, you can imagine that's probably more like 9 months. And so there's a much greater delay in raw materials feed into our supply chain so much sooner than everybody else. Now we are in a sustained period now of where pricing is stuck where it has really at these kind of record levels, and we are comping that with the prior year now as well at the same time. So that stability means that all of our peers have got that in their supply chain. And so as a result, our business model starts to operate well. And as a result, we're seeing our online D2C margins grow quite considerably year-on-year. And I wouldn't -- I can't disclose, I guess, the specifics of it, but it's hundreds of basis points better and nothing's changed in particular in the supply chain. But pricing is going up in the market as the peers are pushing their prices up, having to deal with this. Now so we're in a very strong position with that. As then you will see that why pricing starts to fall at some point, then if it's a very gradual fall, great, it doesn't matter. We're all in a level playing field. If it's a fast fall, then we'll see the benefit very quickly in terms of that. And so what I would say is we've then looked at the off-line retail opportunity, and we have been pricing to go into the offline retail opportunity at a very competitive rate. So if you were to go into any of the off-line channels, you will see that you've got Myprotein as the highest quality product on the market, priced at an incredibly cost efficient for the consumer. And as a result, we're leading the category quite typically. When we go into offline retail with a retailer, Myprotein will typically lead that category from the off, especially in the U.K., I mean, almost certainly in the U.K., that would be the case. As you then talk about, I think you mentioned Walmart, you look at places like Walmart. Obviously, U.S. is a very, very big market, and Myprotein doesn't have the same position in the U.S. as it does in the U.K., where we're clearly the #1 in the U.K. That said, the sales that have gone through Walmart so far, we've been very pleased with, and I believe everyone is very pleased with. And we have got that disruptive model at the same time that goes into it. We will continue to be disruptive. I think we announced that with the Claremont deal. We want to get that installed base across the world way beyond the 34,000 doors that we're currently. I think we're at about 45,000 by the end of the year. We've pre-released in the past that we know about. Obviously, we're targeting 100,000, and that would give us an incredible position from a standing start only a couple of years ago. So we are investing some of that D2C margin growth to a degree in the offline channel, where we're running that broadly at a breakeven for now tight position, which is a very sensible place to be as we then get category leading in all those retailers, we naturally can then push our pricing up and do push our pricing up, and we'll be doing that accordingly, which then further enhances your margins, especially into 2026. So that was the margin question, Patrick. I'll let you come back in a second to see if there's any further questions on that. The other 2 questions you had, one was on the VAT position. As we understand, well, we do understand that HMRC have been refused their right of appeal against the decision. And as a result, they've now got, I don't know, another week or so left, 2 weeks left maybe to come back and see whether they're going to try and fight this in the highest courts or not. I think we pre-released that there's a GBP 30 million contingent asset for us there. If that was to come to pass, that's actually looking more like GBP 45 million. We've obviously put our claim in accordingly and protected our position and that then continues to grow going forward. We still continue to charge VAT on the products as a matter of prudence. And even though the HMRC has lost the case because it's a position we've now been operating in for a period of time and just think that's the right thing to do. So look, let's see, but it's quite an interesting position with, at the moment, a GBP 45 million potential asset to come back into the business there. And then -- the Walmart launch Yes, the Walmart launch. So -- and we're doing -- across the U.S., we're making some really good progress there. I'm super pleased with what the team are delivering on the offline retail across the U.S. and the U.K. I think you asked are there any other interesting partnerships to come. We've -- in the detail of what we've released today, you will see a couple of licensing deals, which are quite exciting. We can't name them specifically, but you'll see that the success of the Muller has been really good. The Iceland deal is great. These are millions of products a month going into consumers' hands with serious retail value attached to them at the same time. We're now moving into the ready-to-go lunch market with a major player in the -- for the U.K., which will hopefully expand into Europe pretty quick as well, which would see us have millions of more products in consumers' hand in high protein lunchtime provisions. And then the other thing is one of the largest confectionery groups in the world, we've done a deal where we're licensing those brands in from Myprotein products, and they should be in consumers' hands, hopefully, the first of them in time for Black Friday and Cyber Week as well. But the licensing side of the business is a fantastic pipeline of licensing in and licensing out.
Operator: Our next question now comes from Andrew Wade from Jefferies.
Andrew Wade: A couple from me. The first one, you mentioned Beauty orders impacted by focus on active customer mix. Could you give us a little bit more detail on that? Is that reflecting sort of territory pullback? Or is that another factor as well? That's the first one. Shall I fire all of or do you want to answer?
Matthew Moulding: Fire all off, Andrew. The guys are writing notes in case I forget.
Andrew Wade: Nice one. So that was the first one. Second one, you talked a little bit about the investment cycle in your own brands. Could you talk about what the catalyst has been for that and sort of what impact you're expecting from that sort of period of investment? And then the last one on Claremont. Clearly, a valuable asset that you've monetized from within the group, but many haven't been thinking about. Could there be other opportunities like that within the THG table?
Matthew Moulding: All right. So there was the Beauty life cycle, any other Claimants in the group? And the first one again...
Unknown Executive: First one was Beauty and the...
Matthew Moulding: Active customers. Yes. So look, so on the Beauty side of things, it's -- as you say, really, it's really around pullback in certain territories where we're not seeing immediate levels of profitability. I think we flagged it a while back. Our focus -- we've got real strength in the U.K. and U.S. and we've got a fantastic distribution across Europe, but it comes from Poland. And so what we've done is we focused on making sure that those customers that can deliver the requisite level of return for us on day one in key territories is where we've put our energies and focus. And so that's been the key factor there. The second question around Catalyst for the own brand. Yes. So look, the truth is as any brand owner would know, maybe not everyone talks about it, but you go through cycles with brands. You've just seen it with Myprotein, where we've had a hell of a year last year with Myprotein, and we're now reaping the rewards of that. And so quite often, the catalyst with any brand is as much as looking forward and thinking, well, do we need to tweak the path of it or something like that. We're always doing that. Beauty brands are a little bit slower, I've got to say, than nutrition. So you don't ever need to do dramatic big moves ordinarily with the Beauty brand. It's around tweaking, changing direction a little bit, et cetera. What we're really talking about here with the Beauty brands is more about the timing of some of the big customer orders. So some of the strategic things we might do is put less focus into certain channels and new focuses into other channels. But there are -- the real factors that have been affecting the brands or Perricone in particular, has been around some large orders that were in the first half of last year and fall into the second half of this year, principally. Net-net, actually, there's a bit less volume order going through it with some of those customers as there's been some volatility with some of those customer channels. But that's the principal reason for it. But we are always tweaking our brands and Beauty is just less of a requirement for major overhaul than more of your fast-moving consumer brands like Myprotein. The final point, I think, was, Andrew, around what have you got in your group that we're not thinking about, but it was an unsolicited approach that came to us in second half of last year for Claremont. We've got lots of assets in the group similar. We spent hundreds of millions through the years building additions to our business model. So even in Nutrition, we have a bar manufacturer that manufactures for some of the biggest brands in the world as well as for ourselves. We paid GBP 55 million, I think, for that 5, 6 years ago. We have a drinks manufacturing business where we similarly drinks for ourselves and other people, et cetera. In Beauty, we have the U.K. manufacturing business. We have the U.S. manufacturing business. Those businesses combined, we've probably spent the best part of GBP 250 million on getting those in position. What we've done with all of these assets, and there's others as well, but we've done with all of those assets is they're just part of the concept of how do we make the mothership a better, stronger business and the mothership would be in Nutrition, Myprotein, in Beauty, it would be Cult Beauty, Lookfantastic in particular, being the biggest in derm store in America. And everything else we do around that is at that point in time, we're just trying to make those businesses stronger and have more competitive advantage. Naturally, if at some point, we sit there and think there's a reason or a value or an unsolicited approach that needs serious consideration, then we'll do that. But long-winded way of saying, Andrew, we've got plenty of these things in the business, and we could do one of those, just a small one of those, win the VAT and you're probably pretty much at net cash, right? So without too much change to your business model, people wouldn't even notice a change in our business model, but that's how we've built the group.
Operator: [Operator Instructions] And next, we move to a question from John Stevenson from Peel Hunt.
John Stevenson: Again, 3 questions again. On Retail Media, obviously been around for a while, and you look to formalize your approach to the creation of THG Beauty Media. Can you talk a little bit about how that's going to accelerate the benefits of Beauty and sort of what you're doing there? On apparel, obviously, showing really strong growth through the first half. Can you give a bit more detail behind that sort of rate development and future plans? And then finally, on Nutrition, looking at progress in convenience in particular, if you get to the ready-to-eat ready-to-drink. You talked about, I guess, some of that with the licensing deals. Again, can you sort of rate your progress into convenience and how much that's going to change over the next 12 months?
Matthew Moulding: All right. Look, the ones I remember, I'll start with straight away, if that's all right. The -- in terms of athleisure wear, clothing under the Myprotein, I mean, look, it's been a journey. I don't mind admitting because when you're -- there's no other sports nutrition brand in the world that's moved into serious athleisure wear. And I think what we've proven is that we've gone from doing spring vest that you buy that the average weight lifter would buy with a bag of protein now to a serious proposition of very high-quality leisure wear, gym wear, et cetera. And a point at the minute, it's triple-digit growth in there. And that's principally driven by females as well, right? So you're also bringing a lot of female customers into the ecosystem that maybe 5, 6 years ago was a bigger challenge to do. And that's been particularly pleasing. Look, I think the model itself, we have a big customer base on Myprotein globally. We have a great influencer roster of all different types of people as well. And then we have this full range from bars, snacks, all these other product categories by -- it almost just all helps itself in the flywheel because if you're somebody that wants to make a living out of being in health and wellness and being an influencer, that actually, if you work with Myprotein, you're not just pushing one product every day. You've got this whole plethora of your lifestyle in which you can push, which includes really top quality clothing at the same time. And then add to that, things like Hyrox, where we've become the global partner there, which has gone particularly well. And all of our athletes are competing in there. It's really just started to gain some real traction this year. The rebrands played a big part as well. Women don't necessarily want to walk around with big logos and things like that. And you've got -- we've now got the Micon product quality is outstanding. So I just think it's a whole long list of factors that are coming together as ever with these things, right? What we've got to do then is keep the momentum going on top of that? It's no good just growing by 100% one year and then being flat the next year or down a bit to go forward a bit, so on and so forth. So there's a lot of focus in the background on that. The other -- Retail Media and Beauty. Yes. Retail Media and Beauty. Look, it's something Amazon has led the world on this hasn't it? They're a fantastic media business with ads there. We're a big data business ourselves. And so as a result, we've seen incredible success from rolling that out through the years. And we just know there's much more for us to be able to do working with the brands in this regard, and we can show people fantastic returns by saying spend the money here on the marketing, and this is the return you get the other side. So we're just following through that consistently. One of the exciting areas actually in the years to come, we'll be able to put that into Myprotein where obviously, we've launched this brand hub where lots and lots of health and wellness brands now operate on there, and that should expand quite significantly. It's only launched in the U.K. currently. But as we expand that globally, we'll also want to put the Retail Media through there and be able to show those brands, listen, if you invest here, this is the return you're going to get. So it's just been a consistent deliver for us year after year since we launched it a few years ago, and we're just getting stronger and better at it. So that's the simple kind of mechanic that we've got there. The...
Unknown Executive: This progression into convenience, nutrition.
Matthew Moulding: How would you rate it? Look, I think it's been pretty outstanding in the U.K. I think we can do better in Europe. And the U.S., we're in the offline model, but we're not doing much in the way of licensing across the U.S. and the move in that regard. So I think from the U.K. perspective, we've nailed it. Still lots and lots more to go reflected in the announcement we've mentioned today around the lunchtime, but we've got the rest of the world to really get on with here. And Europe is somewhere where we're making progress, but there's -- we're scratching the surface really there.
Operator: That concludes today's Q&A session. So I'd like to hand the call back over to you, Matt, for any additional or closing remarks.
Matthew Moulding: All right. Well, I think everyone will be fed up with my voice, but thank you very much. And I'd like to thank the staff in particular. It's been a brutal sort of 12, 18 months of hard work and dedication, but I think they can see the rewards from that now. So thank you.